Operator: Good day. And thank you for standing by. Welcome to the IHS Markit Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker today, Eric Boyer Head of Investor Relations. Please go ahead.
Eric Boyer: Good morning and thank you for joining us for the IHS Markit Q3 2021 earnings conference call. Earlier this morning, we issued our Q3 earnings press release and posted supplemental materials to the IHS Markit Investor Relations website. Our discussion in the quarter is based on non-GAAP measures or adjusted numbers, which exclude stock-based compensation, amortization of acquired intangibles and other items. IHS Markit believes non-GAAP results are useful in order to enhance understanding of our on-going operating performance, but they are a supplement to and should not be considered in isolation from or as a substitute for GAAP financial information. As a reminder, this conference call is being recorded and webcast and is a copyrighted property of IHS Markit. Any rebroadcast of this information in whole or in part without the prior written consent of IHS Markit is prohibited. This conference call, especially the discussion of our outlook, may contain statements about expected future events that are forward-looking and subject to risks and uncertainties. Factors that could cause actual results to differ materially from expectations can be found in IHS Markit’s filings with the SEC and on the IHS Markit website. After our prepared remarks, Lance Uggla, Chairman and CEO; and Jonathan Gear, EVP and Chief Financial Officer, will be available to take your questions. With that, it is my pleasure to turn the call over to Lance.
Lance Uggla: Thank you, Eric. And thank you for joining us for the IHS Markit Q3 earnings calls. We had another very strong quarter. Q3 revenue was $1.18 billion, with organic growth of 9%. Adjusted EBITDA of $516 million with margin of 43.7% puts us on track for the full year margin expansion of 100 basis points excluding FX. Adjusted EPS of $0.85 will be up 10% over the prior year. Overall, we are very happy with our Q3 and year-to-date results, and we are raising our full year underlying revenue and adjusted EPS guidance. In terms of core industry verticals, let me first start with our Financial Services segment, which had another strong quarter with 8% organic growth in Q3. Within financial services, information performed well with organic growth of 6% and the main contributors of this included pricing, valuations, equities regulatory reporting and trading analytics platforms and our issuers solutions products due to strong IPO markets and the momentum in ESG initiatives. Solutions also had a strong quarter with 9% organic growth and similar trends which we saw in Q2 due to the strong market activity in equities and loans as well as the continued broad based rebound of the investments being made by our customers and solutions. This strength was accelerated by our new offerings and enhancements across the solutions portfolio. Finally, our processing business grew 12% organically with strengths in loans and derivates, performance as expected. For the full year, we still expect financial services to be in the 7% to 8% organic growth range. Let’s move on to transportation, which had organic revenue growth of 15% in Q3. You'll recall that the basis for comparison, the third quarter of 2020, was depressed by significant pricing concessions that we granted our customers at the height of the COVID related lock downs. But like Q2, this quarter’s performance also reflected strong underlying growth across the transportation businesses. Our renewal performance was strong across the board, demonstrating the must have nature of our products in the current challenging market environments. For example, CARFAX for life has now established itself as a critical and innovative service loyalty solution for dealers. At a time when driving higher levels of service lane activity is key to offsetting the lower levels of new car sales. Another example is the strong performance of our forecasting solutions, as the industry grapples with the largest supply chain shock it has ever experienced. However, over the past two months, we have also seen the escalating supply chain crisis lead to further production cuts. And as a result of shortage of cars on dealer lots, we are seeing a temporary slowdown in sales of products that support OEM and dealer and sales, marketing and sales and marketing. We remain very confident in the outlook for these products, as inventory levels begin to recover. But overall, another great quarter for our auto businesses, which demonstrates the importance of our services to the industries. Our maritime and trade business continued to perform well driven by momentum of our innovative risk and compliance solutions and by our growing footprint in the financial sector. I'm very pleased to see our new product investments over the past several years, continuing to pay off. For the full year, we expect transportation organic growth to be in the 14% to 16% range. This represents a healthy underlying high single digit growth rate, excluding the favorable year-over-year comparisons due to the pandemic. Let's move on to resources where organic decline was a modest 1% in Q3 and as expected, recurring revenue improved sequentially across our businesses, and non-recurring revenue benefited from increased demand for consulting services and our software businesses. As expected our ACV experience continued positive growth in Q3, which we believe should continue in Q4, providing a strong foundation for our 2022 recurring revenue. Our downstream organic revenue growth was very strong in the quarter, and we expect this to continue into Q4 as we help our customers navigate global supply chain disruptions in many markets. In 2021, we continue to expect organic revenue results within resources to improve compared to 2020 and to be down year-over-year in the low single digits as the upstream improves and strong growth in downstream continuous. Finally, CMS organic revenue growth was strong at 11% and 5%, normalized for the BPVC and particularly, ECR was very strong, and is benefiting from increased consulting services as a result of uncertainty due to global supply chain disruptions. For the full year, we still expect CMS to deliver mid-single digit organic growth. There were two strategic initiatives announced in the quarter. We completed the formation of the OSTTRA JV which includes our MarkitSERV and CMEs optimization businesses. We also signed a purchase agreement for the divestiture of Opus, commensurate with the close of the merger with S&P Global. And now I'll turn the call over to Jonathan.
Jonathan Gear: Great, thank Lance. Q3 highlights included revenue organic growth of 9%, which is 8%, normalized to BPVC. Adjusted EBITDA growth of 6% GAAP net income declined 2%. EPS declined 2% while adjusted EPS had growth of 10% year-over-year. Regarding revenue, our Q3 revenue was $1.18 billion, with total growth of 10%. Organic growth in the quarter was 9%, which included recurring organic growth of 7% non-recurring organic growth of 20%  Normalized for BPVC, total company organic growth is 8% and non-recurring is 14%. This increase was driven by continued strong underlying growth in financial services and transportation, as well as benefiting from favorable year-over-year comparisons due to the impact of COVID primarily in our dealer facing transportation businesses. Moving on to segment performance, our financial services segment broke organic growth of 8%, including 7% recurring in the quarter. Overall strength was anchored by strong market activities and equities loans and the continued rebound of investment by our customers. Solutions had strong organic growth performance delivering 9% information grew 6% and processing grew 12%. Our transportation segment delivered organic growth of 15% in the quarter. This included growth of 17% recurring as Q3 continued to have strong growth within our CARFAX and automotive mastermind businesses and accelerating growth within our maritime and trade business. Non-recurring revenue increased by 8% primarily driven by strong performance in CARFAX consumer and dealer transactions and within our core automotive insights. Our resources segment declined by 1%, which is comprised of a 4% recurring decline and 30% non-recurring increase. Q3 organic ACB increased by 7 million in the quarter and our trailing 12-month organic ACB is down 3%. However, we are seeing strong underlying trends and our upstream pipeline, especially in North America; as we expect CapEx spend to begin to rebound in 2022. We continue to see strong demand in our downstream businesses, particularly in our products and services that support energy transition and energy market supply chains. Our CMS segment had 11% organic growth, including 5% recurring and an increase of 76% non-recurring. Normalized the BPVC, total CMS organic growth is 5% which includes non-recurring organic growth of 14%. Moving now to profits and margins, adjusted EBITDA was $516 million, up $29 million versus prior year. Adjusted EBITDA grew 6% with a margin of 43.7%, down 150 basis points and down 110 basis points FX adjusted. As a reminder, the margin percentages for the full company and segments were impacted because 2020 margins benefited significantly due to temporary COVID related costs actions. Moving to our segments, financial services adjusted EBITDA margin of 49.2% down 90 basis points FX adjusted, transportations adjusted EBITDA margin of 48.1%, down 280 basis points FX adjusted. Resources adjusted EBITDA margin of 40.2%, a decrease of 100 basis points FX adjusted and CMS adjusted EBITDA margin of 27.7% up 240 basis points FX adjusted. Moving now to net income and EPS, net income was $161 million and GAAP EPS was $0.40. Adjusted EPS was $0.85 an increase of 10% over prior year. Our GAAP tax rate was 30% and our adjusted tax rate was 16%. Q3 free cash flow was $344 million, and our trailing 12-month free cash flow conversion is 56%. Turning to the balance sheet, our Q3 ending debt balance was $4.9 billion and represented a gross leverage ratio of approximately 2.5 times on a bank covenant basis, and 2.3 times net of cash. We closed the quarter with $338 million of cash and our Q3 unbound revolver balance was approximately $1 billion. Our Q3 weighted average diluted share count was 401.3 million shares. As we mentioned in Q4, the merger agreement with S&P Global restricts our ability to purchase our shares and therefore our share repurchase program is currently suspended other than for the repurchase of shares associated with tax withholding requirements for share based compensation. Moving on to guidance, based on our performance through the first three quarters of the year, we are positioned to deliver strong full year results and providing the following improvements to revenue and EPS guidance for FY 2021. On revenue, we are providing three updates to our guidance. First, based on this strong performance and the core review of our business, we are raising the operational outlook for revenue by $20 million at the midpoint. Second, we are adjusting our revenue for the year due to the accounting treatments of the MarkitSERV joint venture. Under this 50:50 joint venture, we will no longer consolidate revenue. This will remove $45 million from our Q4 revenue guidance. It should be noted that we will receive 50% of the JVs earnings in our reported earnings, and thus there will be no impact of the structure to either EBITDA or EPS. Finally, we are lowering revenue for the year by $10 million due to the FX impact in the second half. The net of these adjustments is our new range of $4.61 billion to $4.63 billion, which represents a 7% to 8% organic growth rate. Adjusted EBITDA is being maintained at $2.02 billion to $2.03 billion with adjusted EBITDA margin expansion of approximately 100 basis points adjusted for FX, and adjusted EPS is being increased by $0.03 to $3.18 to $3.20 per share. We do expect cash conversion in the Upper 50s due primarily to the one time impact of the MarkitSERV joint venture and also with S&P Global deal related merger cost. And with that, I'll turn the call back over to Lance.
Lance Uggla: Okay, thanks Jonathan. We had another strong quarter. And our results today set us up to have a great year due to improving end markets and very strong execution by our teams. As this may be our last earnings call as IHS Markit, I want to thank our many investors over the years for their support and say that I'm very excited to be a future shareholder of S&P Global, as they integrate IHS Markit to create even greater value in the years to come. Operator we're now ready to open the lines for Q&A.
Operator: Thank you.  Our first question comes from Kevin McVeigh with Credit Suisse. Your line is open
Kevin McVeigh: Thank you and congratulations to all of you folks, if this is the last call, you've been an amazing management team, and it's been a pleasure to work with you folks. So hey, Lance you talked about kind of supply chain disruption a lot. And obviously the business is thriving within the context of that. How much of that is obviously there's a lot of shock in the system. But just trying to understand how much of that is that and maybe just reshoring? Is structural changes in businesses post COVID? So I guess, is there any kind of nuances between just structural reshoring as opposed to near term, just supply shock?
Lance Uggla: Yes, I think most all of our supply chain disruption is short term related. I think some of it with respect to China and longer term geopolitics will bode well for us. We saw very positive supply chain impacts in terms of upward revenue in our chemicals, pricing businesses, our economic and country risk services that have a supply chain product built into them and our consulting services as well. So, I think in an information business volatility always bodes well across the whole portfolio. And there are pluses and minuses as our automotive business is expecting. As car sales wane through the supply chain shortages that are unprecedented, coupled with less used cars available. Those can have temporary negative impacts, but net net when we look across the whole firm, and we look at our revenue for the year, and our expectations as we start next year it's a short term set of pluses and minuses that provide the same guidance as we expected at the beginning of the year. Next question?
Operator: Our next question comes from Gary Bisbee with Bank of America Securities. Your line is open.
Gary Bisbee: Hey, guys, good morning, I'll have my congratulations on a terrific run. I guess, I just wanted to ask about the impact of the MarkitSERV joint venture. On a full year basis for the business does it make sense to effectively, quadruple that Q4 revenue hit? And are there other things we should think about? How it impacts margins, pulling that business out and any other any other color would be helpful. Thank you.
Lance Uggla: Okay. Thanks, Gary. And thanks, Kevin, as well for the compliments. Appreciate that. When I pass that over to Jonathan, and if he wants to add Adam to that, on the OSTTRA impacts, they can do so Jonathan?
Jonathan Gear: Sure, we'll do it. Gary, I would take this as very simple math. I would take this the 45 we just spoke about for Q4, roughly four times that would be a full year impact of removing the MarkitSERV revenue from our reported results. As I mentioned them in my in my comments earlier, we will still report profit through earnings and so there will be no impact on EBITDA and EPS in an absolute basis. Of course, when you take out the revenues, you've obtained the earnings there will be a lift on a margin percentage. And Adam, anything you want to add to that?
Adam Kansler: So sorry, I have nothing to add, obviously. And then the benefits of the JV commercially while we're quite excited about as our as our as customers.
Lance Uggla: Okay, next question.
Operator: Our next question comes from Jeff Meuler with Baird. Your line is open.
Jeffrey Meuler: Yes, thanks. I'm hoping you can provide some more detail on the auto comments. So I think you said it impacts the solutions that support OEM and dealer sales and marketing. So is this automotive mastermind, digital marketing and maybe CARFAX use car listings? Because I think you said AMM was strong in Q3. So trying to understand to what extent something like digital marketing is already impacting non-recurring revenue. Or if you're saying like automotive mastermind, bookings are softening and we should expect deceleration in coming quarters in recurring and cheers and best wishes from me. Thanks, guys.
Lance Uggla: Edouard, do you want to go a bit deeper on that?
Edouard Tavernier: Yes, sure. Thank you, Lance. And thanks Jeff, for the question. So as Lance said all of this, so the disruption create multiple impacts across our business, some are headwinds some are tailwinds. So at the upper end of the supply chain, when there's disruption, we do more business with suppliers. And actually, we've never had closer relationship with many of our supply customers than today. On the new car sales and your right, right now, we're seeing a temporary softening of bookings in a couple of areas, you name them, right mastermind and digital marketing. And we expect these to be a bit softer than they usually are until inventory starts to recover. On the used car side, we're not seeing that, right. If you think about the used car market and the service market, actually, the combination of low inventory and high prices means that market is pretty hard. And that impact is neutral to positive in our business. So all-in-all, I would say the impact is not material in the grand scheme of things. It does not change our outlook for the business and but we do want to flag it because we recently revised our forecast downwards for the industry across the board, and you'll see quite a few suppliers and car makers referring to these new forecasts in the coming weeks as they talk about their Q3 earnings.
Lance Uggla: Thanks, Edouard, next question.
Operator: Our next question comes from Alex Kramm with UBS. Your line is open.
Alex Kramm: Yes. Hey, everyone, just on the on the energy side hoping now that the fiscal year is over, did you just can just give us a reminder of all the multiyear contracts you locked in. I guess what I'm asking is, you made this this comment that CapEx is expected to be up next year. But, if it doesn't, I guess how much roles do you have built in because of some of those multiyear contracts and those pricing escalators, we would be great to just get a reminder where we stand on those. Thanks.
Lance Uggla: Okay, I'll start and then I'll pass it to Brian for some more detail. So we expect, as we said before our recovery on revenue to be, mid-single digits for energy next year for resources coming from that recovery. Those contracts rolling through and continued strength in all the downstream products. We've, we've stated that earlier, as we did those price cuts, and I think Brian may want to add some color on exactly how those numbers will unfold. Brian?
Brian Crotty: Yes. So yes, we basically did multiyear agreements with price cuts on 50% of the upstream business. We're starting to see those come in now which is nice. And when you coupled out with $70 crude, you mentioned CapEx. We think CapEx is going to be pretty strong next year 24% . So, definitely the, the energy horizon turned around Preston, we're feeling pretty good about, the next few quarters.
Lance Uggla: Thanks, Brian. Next question?
Operator: Our next question comes from Hamzah Mazari with Jefferies. Your line is open.
Hamzah Mazari: Good morning. Thank you. My question is just around the upcoming merger with S&P, maybe if you could just talk about timing wise, next steps, seems like, closing Q4, but any anything you can share on pre planning, integration work you're doing that gives you sort of confidence on the revenue synergies highlighted. And again, congrats on building a great company and all the work you've done here. Thank you.
Lance Uggla: Okay, thank you very much. Well, the work on the merger by the teams at S&P, and I just could have been substantive given that we originally expected a July close, we've had several extra months through the summer in here in the fall, to really, ready ourselves for the opportunity set of this merger, both on the revenue cost take out organization, and of course, building, pausing the share buybacks in both companies has provided for that, that opportunity set to be launched as we look forward. On timing, we've said the, our expectation was calendar, the calendar year Q4, which we're rapidly on top of here as we approach October One. We haven't changed our forecasts on that. But I always, I said to my team, or when people ask me that question, that if it rolled into the new year into January, it wouldn't surprise me. So, we're on track everything, the teams are doing a great job. They're doing all the work that's needed to get the deal closed. And we're, we're rapidly approaching the end of the year. And I hope we can I hope we can complete in that schedule. But wouldn't surprise me if it was 30 days later, but I don't have that information to share. Next question?
Operator: Our next question comes from George Tong with Goldman Sachs. Your line is open.
George Tong: Hi, thanks. Good morning. I'd also like to say congrats, and thanks for the partnership over the years. You're raising your operating outlook for revenue by $20 million for the full year. Can you elaborate on where the upside is coming from?
Lance Uggla: It really, I have to say, it's coming from all across the firm, George. So pleased, I'd love to brag a bit about all the work that the CMS team has done. Since the merger of IHS with Markit, we've rebuilt the platforms built out a whole digital product suite. I was really pleased to show that mid-single digit ex-BPVC revenue, and congratulations to Ken Honroth and their team -- real good job. ECR has been a -- slow low single digit grower. They built out these new supply chain products, the world and geopolitics is driving demand into their product base. So net net, the teams there have, been additive or accretive to the, the overall growth of where they used to be, and that makes everybody's job easier. Automotive strong recovery expected to continue. The underlying core of automotive and high single digits is right where we've always talked about as being and we don't see that changing. Hats off really to the mastermind team. That acquisition is turned out to be a very, very important forward component. I know many of our shareholders challenged us on that. Acquisition is not being as accretive as we wanted to do early on. The teams stuck, stuck with it in terms of the build out of the enterprise mastermind products, those have been rolled out to two major dealers, and lots more to come, new products in CARFAX for life taken hold. Dick, and the team really excellent execution. You get into financial services, the Ipreo acquisition, again our last two acquisitions, these are real, the real fruits of those acquisitions are showing the private equity markets around eye level, substantively building recovery of investments in solutions, really, really excellent acquisition, that's turning into strong organic growth now. And then in energy, we’re who would have thought it you're a $70 oil price heading towards 100. It's a, CapEx recovery; you've got the world recover. And, that midstream, mid digit look across resources next year, coupled with recovered CMS, strong financial services. And automotive, view is we're at the top end of our long term, 5% to 7% guidance that we provide. And both that bodes well for the firm. So very mixed strong revenue growth organically. Looking to achieve the 100 basis points of course, is our normal expected takeout with the rest going into investing in new products and, new opportunity sets. So great job, it's probably my last chance publicly to congratulate the teams. But I have to say whether it was through Markit or post the IHS Markit’s merger, teams did focus on incremental organic growth, incremental margin expansion, steady investments in our organic strategy, and where we look to make sure we get the best out of that. And the follow through to earnings has been excellent. And I don't expect that to change. I think with S&P Global, there's a whole new set of revenue opportunities, and of course, substantive cost synergies and share buybacks ahead. So lots to look forward to and it's been a real exciting journey. But the excitement doesn't stop here. Next question?
Operator: Our last question comes from Toni Kaplan with Morgan Stanley. Your line is open.
Toni Kaplan: Terrific. Thank you. And Lance and Jonathan, always a pleasure speaking with you. One topic that has been coming up a lot with investors recently has been the area of fixed income indices, as it relates to the deal with S&P. I was hoping you could talk a little bit more about what areas of synergies you would generate within the combined entity. I'd imagine the main areas are creating products in multi asset class and ESG. But if there's any others, or if you're able to expand on what you're most excited about there with the combined products, that will be really helpful, thanks.
Lance Uggla: Okay. Thanks, Toni. And thanks for your support. And you're getting our last question. So I'll start and then I'm going to hand it to Adam. I think the most exciting thing about the fixed income indices is the combination with S&P Global, but not so much from product creation. I think product creation both groups are highly product oriented. They're both innovative, they both like to create. But if you look over the years, whether it was S&P, Global MSCI, FTSE, etcetera, they all wanted to build up fixed income franchises. And really, in the early days, you really needed the bank partnership to build strong, fixed income indices, because you really needed to align the underlying prices with the OTC marketplaces. And that's shifted over time. But, today, the combination is really about a huge footprint and marketing platform that S&P Global has for their index franchise and getting to overlay that across the fixed income franchises, is going to be really a great uplift in terms of sales and opportunity. The second thing, of course, is what you'd mentioned is opportunities to create new indices and maybe I'll let Adam talk a little bit about some of the synergistic revenues that we expect to get out of the combination. And we'll, we'll pass that pass that over to Adam now. Thank you for your question, Adam?
Adam Kansler: Yes, great, thank you. Very excited about that combination. We're proud of what we built in fixed income indices. And I know with this scale that S&P indices will bring all the things Lance highlighted, will give will give that franchise a much broader reach than it's ever had. I think key areas to think about in the combined businesses, multi asset classes you mentioned, but also in private markets in ESG and bringing the fixed income indices into that arena. I think that's the area of new products that I think we'll continue to see substantial growth and I think combined with the kinds of data sets that S&P and IHS Markit together will have the possibility for new indices, whether it's in carbon, crypto ESG, all across the fixed income world, globally. I think the opportunity set for us is pretty, pretty robust.
Lance Uggla: Thanks, Adam. With that, we'll complete the questions and we'll turn it back to Eric.
Eric Boyer: Thanks, operator. Thanks, Lance. We thank you for your interest in IHS Markit. This call can be accessed via replay 8558592056 or international 404-537-3406 conference ID 4464694 beginning in about two hours and running through October 5, 2021. In addition, the webcast will be archived for one year on our website. Thank you and we appreciate your interest and time.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.